Operator: Ladies and gentlemen, thank you for standing by. Welcome to the ASML 2012 First Quarter Results Conference Call on April 18, 2012. Throughout today’s introduction, all participants will be in a listen-only mode. After ASML’s introduction, there will be an opportunity to ask questions (Operator instructions). I would now like to turn the conference over to Mr. Craig DeYoung. Please go ahead, sir.
Craig DeYoung: Thank you, operator, and good afternoon and good morning, ladies and gentlemen. This is Craig DeYoung, Vice President of Investor Relations here at ASML and I’d like to welcome you to our investor call and webcast. As the operator mentioned, the subject of today’s call is ASML’s 2012 first quarter results. Co-hosting today from our headquarters here in Veldhoven, the Netherlands is Mr. Eric Meurice, ASML’s CEO and Mr. Peter Wennink, ASML’s CFO. At this time, I’d like to draw your attention to the Safe-Harbor statement contained in today’s press release and in our first quarter results presentation, both of which you can find on our website at asml.com. This Safe Harbor statement will apply to this call and to all associated presentation materials. As a reminder, the length of the call will be 60 minutes. And now I’d like to turn the call over to Eric for a brief introduction.
Eric Meurice: Thank you, Craig. Good afternoon, good morning, thank you for attending the first quarter 2012 results conference call. Before we begin the Q&A session, as usual Peter and I would like to provide an overview and some commentary in the first quarter and provide a view forward. As usual, Peter will start with the review of Q1 financial performance, his comments on the short-term outlook and I will complete this introduction with some further comments on our current market view update for the long-term. So Peter if you will?
Peter Wennink: Thank you, Eric and welcome to everyone. Summarizing our first quarter, sales came in at €1.25 billion, essentially the same as the previous quarter. This quarter sales were again significantly skewed towards the Foundry IDM sectors with 75%, including non-critical KrF capacity additions. 9% of the first quarter sales went to the DRAM sector representing only six system shipments. The average selling price of all systems shipped in the first quarter was €20.2 million, and this reflects the high KrF systems shipments versus the previous quarter. Service and field option sales came in at €202 million, again driven by the adoption of performance enhancing field options. We also recognized sales of one EUV system for a total amount of €44 million, which is one quarter earlier than planned. It’s due to a faster than anticipated installation and customer acceptance process. This had an impact on our gross margin by the way the EUV shipment for the quarter of about 1.5 percentage points. Updating on our previously announced share buyback program, as of April 1, 2012, out of the total program, ASML had repurchased 29.8 million shares, of which 4.1 million shares in the first quarter for a total amount of €839 million, of which €139 million in Q1 giving an average buyback price of €28. The repurchased shares have been or will be canceled. At the end of the first quarter, we had close to €3 billion in cash and cash equivalents. The first quarter net bookings came in at 36 systems valued at €865 million. The booked average selling price shot up from €19.2 million in Q4 to €24 million in the first quarter. That’s due to a product mix shift towards the most advanced tools. Our first quarter bookings profiles of foundry increasing slightly to 74% of the total, followed by IDMs at 13%, NAND at 8% and DRAM at only 5%. Our order backlog at the end of the first quarter was €1.6 billion, totaling 56 systems with an impressive average selling price of €28.5 million. The backlog profile at quarter-end changed again as combined memory continued on a downward trend to only 23% of the total backlog versus 27% at the end of last year. As to the outlook, we can confirm our earlier guidance of €2.4 billion net sales for the first half 2012 and given a continued solid six months of visibility, we can now say that the third quarter sales are expected to be stable at Q1 and Q2 levels. Based on this visibility and in combination with our first quarter backlog, we expect orders in the next quarter to adequately cover our sales expectation. We believe that specific quarterly order guidance has become less relevant over time due to the fact that fewer, but larger customers are placing bigger and lumpier orders, making quarterly order patterns more and more imprecise. On top of that, customers have significantly increased their visibility towards us of their real shipment needs, leaving the order placements as a kind of secondary and almost administrative consideration in the business process. System demand is currently strongly driven by the continued need of foundry manufactures to add capacity at the 28 nanometer node in an environment of very strong demand and high competition. We now expect this strong demand trends to continue for the remainder of the year. The NAND segment continues their aggressive shrink with an apparent moderation in wafer capacity additions in the reaction to the current weakening NAND pricing. The continued difficult DRAM market environment is keeping the DRAM sector share of our backlog at historically low levels. As for an update on the expected EUV shipments in 2012, system integration has begun here in Veldhoven on the 11, NXE:3300 systems on order. Current plans are to shift two of these systems later this year with the remainder shipping in the first half of 2013. To compensate for the recent source delivery delays, we have decided to alter the shipment process for the first two systems, which means that revenue will not be recognized until the systems are assembled and integrated at the customer side. Therefore, we do not expect the revenue recognition on these still occur until early 2013. And finally sales for the second quarter are expected to come in again at around €1.2 billion with the gross margin that will be about 43%. R&D and SG&A expenses will remain constant versus the first quarter levels at €145 million for R&D and €55 million for SG&A in the quarter. And with that, I would like to turn it back over to you Eric.
Eric Meurice: Thank you, Peter. As Peter mentioned, the short-term, mid-term demands for advance logic lithography capacity is stronger than we expected and guided at the beginning of the year. Bridging nicely to 2013 sales when first we expect memory lithography capacity demand to pickup, and two when we are able to ship and recognize the first EUV pre-production system, so short-term, mid-term looks very good. The longer-term future looks also positive for us as articulated often during our quarterly results call. The lithography intensity should increase further when either of the two lithography technologies enabling the next generation semiconductor technologies, so whether it’s immersion multiple patterning or EUV when these two are introduced into production. Both technology will cohabit until EUV becomes the only technology capable of imaging the next generation device due to its lower cost and scalability. To keep our immersion leadership which would be used in multiple patterning, we continue to enhance the overlay and throughput performance of our TWINSCAN NXT:1950 systems. We’re certainly the market leader in immersion as evidenced by one of our NXT:1950’s exceeding another productivity milestone by processing in the product and environment more than 4,500 wafers per day with an overlay at about four nanometers, it’s a great performance. We’re planning further improvements with introduction of our next generation NXT at the end of this year 2012, with the next level of performance in throughput overlay and focus. We also continued the development in introduction of strengths and suite of holistic lithography software and hardware products, so have to enable the process window enlargement, process drift management, and machine matching, which are all necessary for multi-pass patterning requirements. Regarding EUV, we are certainly confirming steady progress still with the objective to release the program in the summer for customer production ramps in 2014. So exactly as we said in the last call. As highlighted in our press release, we have installed six EUV pre-production tool now the NXE:3100, they are in use imaging wafers of customer side, they are contributing to the progress of the EUV fab infrastructure as over 9,000 wafers have now been imaged on these systems to-date. These system have also demonstrated an exceptional performance overall with the 6 nanometer on-product overlay and with dedicated chuck overlay of less than 2 nanometers. These are extraordinary performance. As Peter already mentioned, we are also confirming at this moment the delivery of 11 of our NXE:3300B which is our production systems between Q4, 2012 this year and the summer of 2013. Regarding the source technology stages that we still do not have a proven source power, the proven source power in situ, which would confirm our target throughput performance, but again this was not planned in the first quarter. This has always been planned in the summer, at the end of the summer, but we have made significant progress no matter what. We have now demonstrated source power at 30 watts to 50 watts at high duty cycle for prolonged periods. These achievements are significant as we only need 100 watts to achieve a 60 wafer per hour machine, which some customers will find acceptable for initial production implementation until we reach our nominal throughput specification of 125 wafer per hour. In view of this progress and although we have not yet confirmed, as I said desire powers integrated into a system, we have still – we now started negotiation on the next batch of orders of EUV systems, targeted mainly for customer production ramp, expected to begin in late 2013 and into 2014. So in summary, we are definitively encouraged by the market demand development in the last quarter for the short-term and mid-term for sales opportunities in the second half. We are additionally encouraged by our progress in EUV performance and the unwavering support that we are getting from our customers regarding this technology for ramp in 2014 as planned. With that, Peter and I would be pleased to take your questions.
Peter Wennink: Thank you, Eric. Ladies and gentlemen, the operator will instruct you momentarily on the protocol for the Q&A session, but beforehand, as always I would like to ask that you kindly limit yourself to one question with one short follow-up if necessary. Of course this will allow us to get as many callers on today as possible. Now, operator, would you go ahead with your instructions and then the first question, please.
Operator: Thank you. Ladies and gentlemen, at this time we will begin the question-and-answer session. (Operators instructions). One moment please for the first question. The first question comes from Mr. Simon Schafer. Go ahead please sir. We seem to be having some difficulty with Mr. Schafer. The next question is from Mr. Nic Gaudois. Please state your company name followed by your question.
Nicolas Gaudois – UBS: Hi, it’s Nic Gaudois from UBS. Just first question is on the comments you just made on the next generation EUV tool for production we sure should stop being delivered in H2 2013 and into 2014. Could you confirm why you see the initial requirements for volume production between I guess DRAM 1x nanometer and Logic as well, and I guess it’s too early to qualified, but maybe give us some qualitative initial view on how you think this will develop by getting into 2014 and then I have a follow-up question. Thank you.
Eric Meurice: Okay, very good. So Nick as we said a numbers of time, there are certain numbers of phases when you introduce such a technology. The first phase is to have some R&D tools to do some recipes and confirm the technology, that’s what we’ve been doing. And although, there have been delays in our creditability. By the end of the day, the recipes are being made. And the windows of opportunity is as you mentioned and we’ve not lost any of them yet. The first window is DRAM 1x, so I think you’re going to 1x or 1y, the very near the 20 nanometer. This seems to be a very complicated to execute with multiple patterning and the customers are ready to in fact wait for EUV to be ready to get there. And the competitive product that could also be very near, number one need is the 14 nanometer logic node, which has shown in particular in the last three months, two major pushback by end customers using tempting to use multi-patterning. They have seen two problems, one is a cost issue, which seems to be too high to justify the shrink if they do multi-patterning. And they also have seen a shrink factor limitation. So in other terms, you go to 14 nanometer, but you do not really reduce the sales as much as you should, if you were to use the EUV. So we are having at this moment the heated pressure from the people going to 1X DRAM, the first node below 20 and the 14-nanometer Logic. And at this moment, the race is on to know who is going to be having the first one, to get into both that will create a demand in 2014, which we believe will be appropriate in terms of industrial capacity, meaning not too much and not small enough. So perfectly, exactly in the numbers of tools that a company like ours would want to do, should do too many tools, it costs a lot of money, if you do not enough, it costs a lot of money for dilution purposes. So we’ve seen at this moment to have achieved a run rate target, which has been discussed and which I translated in the press release as we are negotiating the first orders for 2014.
Nicolas Gaudois – UBS: Okay, understood. So we call it Goldilocks EUV, I guess. Just quick follow-up on the more near-term, you added in your presentation for expecting NAND Flash to recover later in the year. Could you maybe precise a little bit with timeline and where were you would expect all major customers to basically come back or some select customers are effectively some may have some specific circumstances in particular in the context of all memory consolidation?
Eric Meurice: We are a bit puzzled by the NAND Flash business at this moment. We were expecting in fact them to start showing some positive color. But instead what we’ve had and this is in fact the stronger positive news is the NAND hasn’t happened, but the Logic has more than we thought, so this is good news, and we can talk about that later. The NAND Flash however will have to be much bigger than the current run rate if you believe in the tablet numbers in the smartphone numbers and in the SSD numbers. If you just charter, what you hear in the market, the statistics expected for those products, then you would see a shortage of NAND as early as Q4. So now we are hopeful that this is not going to even happen in Q4, so that we stabilize nicely our sales between good 2012 and a sustained 2013.
Nicolas Gaudois – UBS: Okay, that’s clear. Thank you very much.
Operator: The next question is from Mr. Simon Schafer. Please state your company name followed by your question.
Simon Schafer – Goldman Sachs: Yes, thanks so much, it’s Goldman Sachs. I guess my question is in terms of perhaps the lack of order outlook into the second quarter and I think I get the point about customer concentration it’s very evident that the foundries and IDM are obviously a bigger piece of – in terms of concentration. But my sense is also that it really wasn’t all that meaningfully different sorry after the Q4 and he was very comfortable indicating that orders would be at least flat. So I was just wondering what changed in that?
Peter Wennink: In that sense, I think from an outlook point of view, we are not – we are very clear probably clearer than we have been in the past. Now, on the order from the point is that we have fewer customers, which is indeed true and those customers are getting bigger, but also the order sizes are getting bigger. So it means you can have between the end of June and the end of July, you can have hundreds of millions of difference, so a very widespread of when those orders are actually going to hit the books, which is no indication whatsoever of the outlook that we have on our shipment pattern. So, this is the only reason why we are not doing this, because we want to be clear on what the outlook really is and what the outlook is driven by sales and not by the orders, and that’s why we’re giving you sales, which we believe is a better indication.
Simon Schafer – Goldman Sachs: Got it, Peter thanks so much. And my follow-up question would be, I mean, I guess in terms of orders and deliveries, it seems like actually KrF is perhaps somewhat higher, so clearly a good amount of capacity that’s happening at the 28-nanometer node. And I think I would agree absolutely, that for the 2x I mean, 2.0 and 22 nanometer, there’s clearly an avenue for an event from an aggressive upgrade power from all your customers at the leading edge. But I guess, I’m trying to get a sense as to whether you think there is perhaps the transition risk between the two nodes, just because it looks as if capacity has been very strong specifically in KrF and some other capacity tools?
Eric Meurice: No, I would think what we are getting more comfortable ways at this moment is to understand, why we’ve been so positively surprised with Logic. We were worried that there was excess capacity due to the fact that is, you know today there are multiple players running after the same customers. So we’re a bit worried that there is duplication. But this doesn’t seem to be the case and there are two factors, one is, if you talk to foundry customers, you will see a lot of exciting products getting into mobile applications, which requires power and these things are usually complex with very large value size, so this drives a lot of silicon square meters, so that we can test, check, touch. The second thing that we have now recalculated is of the sizes of each of those nodes in compared to what we ship as units. And I’m happy to report that we are far from having yet, I’d say a stabilized capacity level necessary for normal node at 28. So that is we have another six to nine months of production and shipment of machine before we have delivered to the market. I would say sort of mature not high level of wafer per month. After that, there is another engine for 2013, which is to be proven, but we are getting now a significant interest is the customers want to go from 28 to 22 already and they do that because they easily drive our product again. So this is not now a driver due to volume, it’s a driver due to product and architecture. And as you know there is five time the arm environment et cetera, that forces this activity to happen. So now what we discover is we have a former system that was in the Logic arena, a node every two years, every 18 months that gets into a node every year. And therefore fast to ramp to a stable numbers of wafers per month. And then immediately not replaced. But it’s prolonged by another ramp. So that’s what we see at this moment, so therefore we do not see significant risk of these being wrong excess type business decisions. If I were to be negatives per semester, I would say however, these are very complicated nodes technology-wise, and you could always have issues of difficulties to yield the ramp, et cetera, but this probably would not impact the litho business, in fact it could even create upside for us in case the difficulties to ran those things.
Simon Schafer – Goldman Sachs: Okay, that’s great, thanks Eric.
Operator: The next question is from Mr. Kai Korschelt. Please state your company name followed by your question.
Kai Korschelt – Deutsche Bank: Yes, it’s Deutsche Bank. Thank you for taking my question. The first one was just on the, if I could just cap on this comment Eric that you’ve made I think on the second batch of EUV to the current negotiating and the run rate 2014, 2015, I seem to remember the longer-term target was to ramp up your manufacturing capacity to about nine tools per quarter by 2015. Are you still thinking in these sort of dimensions or in the process of negotiations is your thinking on that capacity maybe to increase or lower it depending on the demand? That would be my first question. The second one was just quickly on the potential buyback extension that you’ve talked about last quarter, could you just remind us how much net or gross cash you think you need to run the business? Obviously your company is now bigger than it may have been two or three years ago. So if you could just remind us what minimum level of cash you would need? Thank you.
Eric Meurice: Yeah. So I will answer the buyback question and Peter is going to answer the EUV question. No, I think I wish. So the EUV question, yes, I would say, there is three stages of Goldilock capacity with integration at this way, which in the first year, we will probably want to be at 1 unit a month, 1 unit a month, 1.5 unit a month in the first year, then we will go to a period of time at three per month, as you said, 36, and then we probably will mature business that we can see now in terms of technology at about 60 units per year roughly. So you’ve got these three stages that is now being discussed, negotiated with most customers, so that we have the proper capacity to achieve this. So we start with one a month. We then go to three a month and then we will go to whatever 60 is divided by 12 months. Now with our buybacks.
Peter Wennink: Yes, we basically are still in the same position as we were last quarters, no change on that. I’d just like to reiterate that on the announced buyback program, which also would include the shares we need to buyback to cover for the share plans and the dividend, we still have more than a €0.5 billion to go, so that we will do of course first. And that actually means that in the fourth quarter, we always review with our board the distribution policy for basically the next year, which includes dividends and the share buybacks, and the division between the two. So that’s what we will do by the end of the year. And let there be no question in your mind, this is a very profitable and cash generating company. So in excess of what we need, we will keep giving that money back. There is no change whatsoever. You can say, a basic cash balances that we would need a couple of years ago like you roughly, we indicated we were smaller and we just had between €1 billion or €1.5 billion. It’s probably now within €1.5 billion and €2 billion, but above that you will see us in a cash return mode. So, I think that’s, it’s for now when we would announce the potential synthetic share buyback. Clearly, it is a function of where we are at the end of the year in terms of our decision-making and like I said last time, you do not do a synthetic buyback for €100 million, you want to do it for a big number and I would not expect that number to be anything lower than €500 million. So that needs to be a big chunk. So it is not going to be eminent because we first have to do the first €500 million left on the remainder of the buyback program and on the dividend payment.
Kai Korschelt – Deutsche Bank: Okay. Thank you very much.
Operator: The next question is from Satya Kumar, please state your company name followed by your question.
Satya Kumar – Credit Suisse: Yeah. Hi, thanks for taking my question, from Credit Suisse. Eric, you talked about the 14-nanometer multiple patterning having issues. Are you referring to 14-nanometer for Logic or were you referring to foundry processes?
Eric Meurice: Our foundry processes in the following sense that foundries are having another challenge that the IDMs would not have. The challenge is that they have to deliver design rules, which are less restrictive and they have to deliver shrink factor, which is very aggressive. So, yes, my comments on 14-nanometer being a competitor to being in the first to go concerns more the foundry environment than it concerns the microprocessor environment.
Satya Kumar – Credit Suisse: Okay. Can you talk a little bit about; I mean it sounds like your visibility on the second half has improved, it seems like primarily from the foundry order visibility. What are you seeing in terms of 14-nanometer Logic capacity requirements, how does that factoring into your thought process for this more confidence on the second half? Thanks.
Eric Meurice: We’re not very aggressive on that. We think that this 14-nanometer node is now going to stabilize as what we’ve shipped already. So, we are not foreseeing an upside, we’re foreseeing all the positive news that you’ve heard from us in the last 45 minutes is really 28-nanometer. So, if you are able, you will now tell me that I should also be positive that the 14-nanometer could see a trend of increase because the numbers of capacity installed in not that high, but 14, I thought you said 14.
Craig DeYoung: So he is talking about 14 or 40?
Satya Kumar – Credit Suisse: Yes, 14 sorry.
Eric Meurice: I understood 40 because, no. So, 14-nanometer is just R&D at this moment. There is no impact on production. Okay, if you talk about the specific customer who calls its next node of 14-nanometer, I cannot comment of course, this is proprietary data.
Satya Kumar – Credit Suisse: All right. Thanks, guys.
Operator: The next question is from Mahesh Sanganeria. Please state your company name followed by your question.
Mahesh Sanganeria – RBC Capital Markets: Yes, thank you, RBC Capital Markets. Eric, I have a question on your competitiveness on immersion. You gave us good information on the double patterning layers. My question is that, have you able to meet the requirements of overlay for double and triple patterning, or there is more improvement needed in that, that will enable you to keep your comparative advantage in the immersion?
Eric Meurice: First of all, I know I think it is very, very, very, very difficult at this moment to achieve what the customer want. You may have heard me in the speech talking about design window enhancements and the process drift management. So you are now in a point where the customers have to work extremely closely with litho supplier to define the machine and the software that goes with it and their own design, so that your window is as wide as possible. But the design now is kind of dedicated to the machine. And then when that happens, you put this into production and you are going to drift not only the litho, but also my peers in fab, the hatch and et cetera. And then you correct every drifts in production through a new set of parameters that you input into the litho machine. That’s again another set of products that we are shipping. And we are not satisfying the customers, this is what I’m trying to tell all of you now that the Double Double-Patterning makes the windows enhancement and the drift, a huge concern and a huge challenge. So, yes we can do it, but it’s not as pleasant as EUV. So the customers will always try to get EUV, if the EUV works. That’s the first statement. The second statement is, however is, our competitor capable of doing this better than us. We’ve got a feeling that it’s not the case for the usual reason. One is we invest huge amount of money in the packages, which are dedicated to windows enhancement and drift management, which are dedicated to the machines and the machines themselves have 3000 points of controls, which we are well ahead of anybody in the market doing this, if you feel something, you are better off with the machine with maximum numbers of flexible items. The second bit is that we still have a concept, which is a TWINSCAN with a numbers of measurement points capability, which is superior to the paper specification of competitive products. So, we think even on paper, we will remain the leader conceptually on the critical layers. And I hinted to you the third point is that the level of risk that is now existing in the fabs do not justify defocused on R&D, the R&D to get a machine to work is a year or a year and half activity and duplicating it with multi supplier with multiple architecture is a non-economic risky situation in particular that in production, then the machines are not matching, which is you cannot process anymore a wafer on different machines that would be pretty bad. So we think that during the period of time where EUV is not yet fully available and immersion is there we have a high chance to remain leading.
Mahesh Sanganeria – RBC Capital Markets: Thank you, Eric, that that’s very helpful. And just a quick follow-up on your commentary on the NAND, is that the NAND weakness or lack of order, which you were expecting, is that coming from a specific reason or can you provide some more color as to what’s driving that? We heard from SanDisk that they pushed out the WiFi, have you seen a similar action from others?
Eric Meurice: No, yeah, we have – in fact, I wanted to stop the call here and start asking you questions. To figure out what the problem is, but we are only guessing that these four players are – 3.5 players are now more in the business of call it embedded NAND and embedded NANDs are like Logic. They are not anymore what you want to do you manufacture. You just manufacture to the numbers of and the products you’ve been designed in. And usually in this business for Logic, you’ve always seen this at the beginning if things takes a bit longer than expected before you get designed in and the product really works and et cetera, et cetera. So, I would consider this moment that all the exciting new products, on which the new NANDs are being designed in, haven’t yet pumped in the volume and you had although this people just waiting for the products to come, so waiting for the new PCs, the utilities waiting for the SSDs new generation with a better driver. I think if I’m not mistaken Windows 8 is going to drive those things much more aggressively, so that’s also you’ve got to wait to make it valuable. So I guess that’s what it is, because I see this non-aggressiveness to be a bit consistent on all the players of the NAND business.
Mahesh Sanganeria – RBC Capital Markets: Okay. Thank you very much.
Operator: The next question is from Krish Sankar. Please state your company name, followed by your question.
Krish Sankar – Bank of America Merrill Lynch: Yeah, hi, thanks for taking my question. It’s Krish Sankar BoA Merrill Lynch. I had a couple of questions. Eric, you mentioned that you’re having negotiations with customers for future EUV orders. What type of customers are these, are these the early adopted DRAM, are they pretty much across the board?
Eric Meurice: In fact as I said to Nick, as you probably will see numbers of DRAMs and the numbers of variety of people and I confirm NAND not and as we always said NAND will not be interested immediately, because 60 wafer power 60, 70 which we will I mean, we are considering as a walkaway type thing, isn’t probably not satisfactory enough for the NAND guys who will want to be a bit of that so we will be a year or two later in the NAND business switch corresponds to the Goldilocks Strategy because if we had the three segments together on the first year, we probably will be having some difficulties to ramble that.
Krish Sankar – Bank of America Merrill Lynch: Got it, all right and then just two short questions, you said you had 11 orders for the 3300 right now, does that include Elpida and then second one is in terms of your Q1 bookings about 74% orders from foundry, what percentage of that was for 20 nanometer if you could help us, thank you?
Eric Meurice: Sorry the first question, well, I think, we can’t really talk about the situation of bankruptcy and things as you know at this moment the Elpida is on the process of being purchased and there are issues about the assessments of the assets, which I’m advised not to comment. So I can’t really tell you anything of that nature. Your second question I could not catch sorry.
Krish Sankar – Bank of America Merrill Lynch: In terms of the foundry orders that you saw on foundry orders in Q1, I understand lot of it was for the 28 nanometer, do you know how much or what percentage was for 20 nanometer?
Eric Meurice: No, nothing, nothing, at this just moment, one or two for R&D, that’s it.
Krish Sankar – Bank of America Merrill Lynch: Thanks, Eric.
Operator: The next question is from Mr. Gunnar Plagge. Please state your company name follow by your question.
Gunnar Plagge – Citigroup: Good afternoon, it’s Citi. I just wanted to come back to the foundry or the predictability of foundry demand. So, on the one hand you have to handle the 28 nanometer designs coming and that also is a year development. And it looks that foundry seem to be pretty relaxed, because you could in this scenario also see a lot of longer backlog orders coming and then you have 91% of the backlog shippable in the next month. So could you little bit talk about tightness and about predictability here?
Eric Meurice: Again we tried different ways to avoid that you interpret us on bookings, but we are genuine in saying that now that we have six to eight customers, all of them expect us to do the business even if we don’t have the orders. All these discussions and our body language at this moment is based on the fact that we are having an overwhelming numbers if request to buildup the upside whatever these are not orders, but I can tell you I consider these all in orders. So they are more secured than an order in which in case of recession would be anyway pushed out. So you’d be pretty big predictability of these things not because you have a view. The predictability is because you know why they are used for.
Gunnar Plagge – Citigroup: Yes.
Eric Meurice: And if I were to tell you they are used for because the next President of France is going to be Mr. X, would be worried about that, because of these things are, may not happen. But when you say that you have a necessity to ramp the node 28 and then the node 22 critical mass, which is you reach still a critical mass, which represent about 250 wafers per month, because just all industries have 1000 wafers per month. I would think that is going to happen, because it has always happened. It’s a minimum numbers of wafers that the industry would bear or consider critical. So this is why you see us today not really concerned about bookings and really working our energy to get to the additional outside Logic that have been asked from us.
Gunnar Plagge – Citigroup: Okay, great and just coming back to the EUV, we’ve talked about this couple of times, but could you give us your view on EUV gross margins next year what would be reasonable to put into that?
Eric Meurice : I could give you my view, but I prefer Peter’s view.
Peter Wennink: I think it is a repeat of what we said before our target just after first production tools shipped at let’s say the high-20 and we are about two years, so that’s a 2015 area to get to the corporate average that you see today.
Gunnar Plagge – Citigroup: So, next year high-20’s
Peter Wennink: Yeah.
Gunnar Plagge – Citigroup: Thank you.
Operator: The next question is from Mr. Andrew Gardiner. Please state your company name followed by your question.
Andrew Gardiner – Barclays Capital: Thank you, its Barclays. Just as a – so continuation of the last question really related to the customer concentration and order lumpiness. Can you also comment on your lead times, I take it that these haven’t really changed and it’s just a question of sort of difference in the time from initial indication from your customers with which you can start to plan the tool manufacture [till they] actually putting a pen to paper for the official orders that’s changed.
Peter Wennink : I think, we have of course used, you may remember, because a lot of your – the people currently on the call or were on the call last year also that we talked about lead times of our NXT program about 10 months to 11 months and then it actually come down significantly in the sense we’re now six to seven. So that is a lot better. I expect anything that we currently see not to have any issues with lead times with delivery schedules, now we’d also tell our customers, please give us the challenge to be under pressure if they want to have more tools, then fine we’ll start pushing the ciphers down in the factory again. But six to seven months that’s the general lead time but like you said and Eric also said we have these discussions with customers about their shipment pattern and then we had that agreement with them which, because of their ramp needs, is almost cast in stone, and especially when it’s 28 nanometer Logic which is extremely high in demand today. So that’s what we can plan relatively easily when the orders come, it’s just very lumpy like you say only a few customers where you can have per quarter depending on when you get the batch of those orders. You don’t get them one-by-one, you’ll get a batch. It could be hundreds of millions difference between one and other quarter meaning nothing. So all-in-all about the order lumpiness, one thing I would say we expect very healthy order levels basically supporting our sales guidance for this year.
Andrew Gardiner – Barclays Capital: Okay, that’s clear and just a quick follow up on some of the comments you made on EUV, there is clearly work to be done here, but you are standing slightly better I think than you did last time we heard from you. Can you give us any information on how you are communicating this progress to your customers and what they’re telling you that they need in terms of what they need to see to a make a determination as to which node and to what extend they begin to build EUV into their roadmaps?
Eric Meurice: Yeah, so we have indeed progressed as we expected to progress. So you can consider this a victory because most of the time we’ve told you that it is not as good as we thought. So today I think we could say that we have an inflection point. So that puts us into a situation of higher level of confidence. This level of confidence is however only based on the fact as I said three months ago that we are doing experiments more than experiments, but we are checking the numbers of upgrades separately. So each of the upgrade at this moment are running pretty nicely all of them. So therefore, we have increased our level of confidence, but this is not sufficient and good enough, because the customers haven’t seen all these upgrades in as I said in the speech in C2. In C2 means you will try all of this into the same machine and as expected into our business, you discover a bit of issues. So on one hand, the message that we give you today is a message of we now confirm our concept and we are absolutely at 60 wafers or more per hour there is no question. The bad news is, in C2, we may discover a numbers of clean-up activities optimization that may have an impact of once to the situation. So the customers are not thrilled with this, because their decision has to be frozen as we said two months ago in the summer. So the summer looks like a time by which, one we have to bring a certainty, and two they have no choice and go for steam on one or the other. So this is why the summer is an important date. Now some of you would say is the summer July 15 is when we have a recall or is the summer October 15 is when we have a recall. We do understand that in my view the summer is going to be in between because indeed its okay for both of us, the customers and us to struggle our way with a proof until the proof is solid enough that they will release, so at this moment the probability of release is high enough that they negotiate the orders by the way.
Andrew Gardiner – Barclays Capital: It sounds good, thank you. We’ll look forward to the summer then.
Eric Meurice: Me too.
Peter Wennink: For several reasons.
Operator: The next question is from Peter Testa. Please state your company name followed by your question.
Peter Testa – One Investments: Yeah, it’s Peter Testa from One Investments. Thank you for taking the question. I was wondering to understand the bit on, what you are describing between the order versus sales forecast, how that impacts how you manage your business thinking about, example working capital it might be up and down a bit differently, holding your costs, commitments to suppliers, these sorts of things, given you’d be working without say deposits and hard purchase orders with the same length as before?
Peter Wennink: Yeah, well, actually we are planning our business based on the shipment commitments that we agree with the customers, and as I’ve told you earlier, then the orders will follow later on. Whether that means that we have a different risk profile with respect to our investment in working capital? That is practically not the case. We used to have orders in 2008. At the end of 2008 when we went into the financial crisis, those orders were just pushed out and they are never canceled. The orders pushed out to a point where they need them later because it’s all about technology that doesn’t go stale. I mean NXT:1950s will still be sold in 2013, 2014 and beyond. So they never cancel, they just push back. They only have a few customers, so we accept the pushback, which means that the working capital is exactly the same as when we would not have the order. So in that sense from a working capital point of view, it doesn’t change anything. That’s why the order relevance is not that high either. It’s just the matter of do we accept the commitments of our customers to take a shipment, which will support their product roadmap which is clear to us. And if we say yes, we have the commitment in the chain, and I have to add to that our commitment in the supply-chain builds up overtime. So, it means that the closer we are to the shipment date the higher our commitment is to our suppliers. So it’s an effective fairly flexible, flexible system that we’re using.
Peter Testa – One Investments: Okay and the follow-up question please, as if you look at the reasons why foundry and IDM are lasting longer. Can you give a sense as to how your see these persisting i.e. for example, do you think this will hand over to the pick up in memory or overlap the pick up in memory?
Eric Meurice: Well, we wish that there is new overlap for nicely or spreading good revenue between 2012 and 2013, and there is a high chance that it is going to happen. One hand, DRAM business is going to only pick up after; already some decisions are taken with Elpida and only by the end of the year driven by the, multiplied by two DRAM content in the smartphones and the tablets, that’s only come at the end of the year. So we should be having the time to get there. Okay, in the NAND, I said, I was not sure by the drivers, but I could guess the drivers are the volume driven type drivers, which also are a type of Christmas season, new product I think, which nicely puts us into a situation for getting the orders of these guys probably in the end of Q3 beginning of Q4 for delivery date in Q4 and deliveries into Q1. So we’ve got a high chance here to have a nice flow of those two segments and as some of you have already written in your notes, if you added to this 11 EUV tools that we will now recognize in 2013 we are going to have a good trans to have now a managed revenue flow, which is stable to growing nicely, although, it’s too early of course to guide on 2013.
Peter Testa – One Investments: So you think the Foundry and IDM persist to that point or persist beyond that point, when the memory picks up?
Eric Meurice: There is a scenario where they persists, yes, there is a scenario where they persist. And at this moment, we have huge discussion with all of them about how persistent and real that is. There was a question before, which was, how do we know that is real or not. And this is why we are paid to find out, it is real, because we need to prepare all these, we need to prepare the supply chain, we need to prepare the level of risk, working capital and so. But it’s much too early to guide again if this is true, this will happen, but I have to give you transparency, this is not a dead business out there. There is clearly activities in the Logic business beyond 2012.
Peter Testa – One Investments: Thank you very much, question and answers.
Operator: The next question is from Sandeep Deshpande. Please state your company name, followed by your question.
Sandeep Deshpande – JPMorgan: Yeah, hi, Sandeep Deshpande from JPMorgan. Thanks for letting me on. Eric, can I try to go back to that NAND question. I mean you said that you could not exactly answer the behavior of your NAND customers. But in terms of what you’ve been historically been telling us is that your customers tell you shipment horizon. Have you had any discussions with your NAND customers about future shipments, given that some of these lenses need to be built, if you were to be able to for instance, ship tools to them in Q1, Q2 of next year. Clearly that’s not an order, but it means that you have some understanding of that shipments?
Eric Meurice: So let’s be conservative at this moment, I would say not a good picture in 2012, this is why the question before you was relevant, there is a high chance that NAND guys are starting to talk to us about how big the business could be in 2013 indeed, that is happening, but not yet to pulling into Q4.
Sandeep Deshpande – JPMorgan: Okay.
Peter Wennink:
Sandeep Deshpande – JPMorgan: Okay, thank you. And secondly, the question again on EUV, I mean you’re talking about that you are starting to book customers for the production version of EUV. In terms with that you’ve made some comments today about the next generation node and where this will be inserted for Logic, DRAM, et cetera. So I mean what kind of capacity should we be looking at for EUV in the first full year of wrap? I mean you are going to do 11 tools next year is what you have talked about in terms of orders. I mean if you look into 2014 for instance, can you do 22 or can do you only 15?
Eric Meurice: Again we don’t guide, but I know some of you had an excess purchase in front of you. So we need to be giving you proper direction. I would say at this moment, if we get two customers, one DRAM, one Logic to start and we get some R&D activities, you should do 15. Let’s not be over-enthusiastic about the complexity. In this transition, customers would always ask you for a lot of things in the transition and when the transition comes, they’d find ways to use most effectively the installed base. So you have to always be usually conservative as to a new technology, they want a lot and then it will reduce it by a factor, because they can use the installed base. Now if in 2014, we have a volume driven business, meaning it’s a good business like the economy is doing good. Then EUV would be even higher, because EUV would be a Greenfield and then you all are going to have much more than that. But at this moment, because none of us can call 2014, you would want to just put yourself into two customer plus two or three R&D and make it 15.
Sandeep Deshpande – JPMorgan: Okay. So you are talking about what you think you can ship rather than your capacity, correct?
Eric Meurice: We could ship more, but it…
Sandeep Deshpande – JPMorgan: Yeah, okay
Eric Meurice: It is [special] serving cost, yeah.
Sandeep Deshpande – JPMorgan: Thank you, Eric. Thanks.
Peter Wennink: Operator, I think we’ll try for one more question. For those of you that didn’t get to ask a question and still have a burning one, feel free to call Investor Relations. We would be glad to get back to you either late today or tomorrow. So operator if we can have the last question please.
Operator: Of course, thank you, sir. The next question is from Mehdi Hosseini, go ahead please.
Mehdi Hosseini – Susquehanna Financial Group.: Yes, thanks for taking my burning question. Eric going back to this booking issue, would it be fair to say that since this ‘11, 3,300 tools have not gone into the backlog, that is the biggest variance looking into the next three to six months and that is impacting your ability to project bookings, is that a fair assessment?
Eric Meurice: No, the fair assessment is upside to what we were saying there. We were not even discussing this EUVs, say, they will pop up in our backlog in fact, I don’t know how we are going to organize your accounting for that. But no, they said, Peter said before which is at this moment we are not worried too much about low booking, we’re just worried about giving you range, which is not satisfactory to you, so it is not a low level. And on top of whatever Peter said, EUV will be coming in. So, let me give you my brainstorming view on that is, we book when we ship.
Peter Wennink: Yeah.
Eric Meurice: Which is one way or we decide at some quarters to say we are going to book the whole EUV because it’s now officially assigned off spec wise or something. I don’t know, but we will not use this as a political item to save bookings quarter, in fact at this moment, our body language may have felt it, it tells you that we do may not need to do that anyway. So, and this is a good, nice last question in the sense which you have now a sort of translation of our positive body language due to structural buys from our Logic customers. I think that’s a good conclusion if I may.
Mehdi Hosseini – Susquehanna Financial Group.: Got it. And then one of your top foundry customer was making the statement yesterday that given the challenges in migrating to 40-nanometer, they may actually do 18 or do the development for 80-nanometer first until the lithography bottleneck is resolved. Do you have any comment on that?
Eric Meurice: Yes, so that we are kind of always advising our customers to have a backup, which is multiple patterning backup. And yes indeed you have noticed that some of the customers are now making public that getting to 14, this multiple is difficult and therefore they have to try to do something in between. And the problem with foundry is that something in between has to be economically favorable to their own customer and this negotiation and discussion is happening at this moment. So we are preparing machine for these scenarios obviously, but this is not for 2013 and this is far beyond.
Mehdi Hosseini – Susquehanna Financial Group.: Got it. Thank you.
Peter Wennink: Excellent. Well, now on behalf of ASML’s Board of Management, I’d like to thank you all for joining us today in the call. And operator, if you could formally conclude the call for us, we would appreciate it. Thank you.
Operator: Ladies and gentlemen, this concludes the ASML 2012 first quarter results conference call. Thank you for participating. You may now disconnect. Have a nice day.